Operator: Good afternoon. And welcome to the MDC Partners’ Third Quarter 2014 Financial Results Conference Call. All participants will be in listen-only mode. (Operator Instructions). After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions). Please note, this event is being recorded. I would now like to turn the conference over to Matt Chesler, Vice President of Investor Relations. Please go ahead, sir.
Matt Chesler: Good afternoon. And thank you for joining the MDC Partners’ 2014 third quarter conference call. On the call today from MDC are Chairman and Chief Executive Officer, Miles Nadal; Chief Financial Officer, David Doft and Chief Accounting Officer, Mike Sabatino. During the call, we’ll refer to forward-looking statements and non-GAAP financial data. As you know, forward-looking statements about the company are subject to uncertainties referenced in the cautionary statement, included in our earnings release and slide presentations and further details on the company’s Form 10-K for its fiscal year ended December 31, 2013 and subsequent SEC filings. For easy reference, we posted an investor presentation to our website and will refer to this presentation during our prepared remarks. We also refer you to this afternoon’s press release and slide presentation for definitions, explanations, and reconciliations of non-GAAP financial data. And now to start the call, I would like to turn it over to our Chairman and Chief Executive Officer, Miles Nadal.
Miles Nadal: Thank you very much, Matt. And good afternoon, ladies and gentlemen. David and I will provide some brief remarks and important remarks and perspective on our results before opening it up for questions. It’s our continuing and unwavering belief that our organization is healthy, strong and strategically better positioned than all of our competition. We have brilliantly created a thought leadership, a deepened understanding of today’s changing consumer marketplace and most innovative, most agile culture with people that are focused on the mission of driving return on marketing investment for our clients. Used together, these key attributes empower our people at every level of our organization to adopt new tools, technologies, strategies and treatments that deliver improved returns on our client’s marketing investment effectively and efficiently and without undue concern for legacy infrastructure. Our strategy has and will continue to power our financial outperformance not only now, but for the years ahead as we fully expect to continue our expanding momentum for the foreseeable future. Three quarters of the way throughout our year, we are experiencing another exceptionally strong year. We are on pace to deliver on all of our financial objectives for this year. This includes industry leading organic revenue growth, very strong EBITDA growth and operating leverage, expanding margins and solid cash generation. But as we all look to the future, know that one of our most meaningful accomplishments has been our ability to success tap into our organic growth initiatives such as our continuing and aggressive global expansion. Even with 2014 shaping up to be our best year to-date, it’s these initiatives that drive us for an even more extraordinary and more successful 2015. We’re only as strong as our partners and their agencies. We are executing well against the number of growth initiatives, winning new business, gaining market share on a global basis and enhancing our clients businesses in a competitive marketplace. To push our partner agencies to reach their potential and to drive returns for our stakeholders at the corporate level, we continue to attractive be industry’s best and brightest top talent to in turn develop the strategic resources that accelerate our partners growth and deploy capital responsively and more importantly accretively. To share a few details from the quarter, first, revenue increased 13% over the last year to nearly $327 million, with organic revenue a record 8.2%. Second, our adjusted EBITDA increased 8% to $42.5 million with margins of 13%. And third, adjusted EBITDA available for general corporate purposes was $14.1 million which was down year-over-year due to the timing of capital expenditures. As a whole, year-to-date trends are very strong with revenue up 11%, organic revenue increasing 7.7%, adjusted EBITDA increasing 11%, adjusted EBITDA available for general corporate purposes of $66 million. Our new business pipeline is robust. Don’t just take our word, look at our track record. We are converting these opportunities into new revenue at a record pace. Net wins totaled $29 million in the quarter and a $107 million year-to-date. To mention but a few wins in the third quarter approved to announce publicly Panera Bread, BMW Mini, Duracell Associated Bank, FreshDirect, [Forbes labs] and Marriott Hotels. And we’re eager to share the news about the CPV prevailing in the global Infiniti review announced first on Monday which will be a fourth quarter of new business and is not included in our third quarter results. This is another early validation of our global expansion strategy and our confidence going into 2015. But while I’m extremely pleased with our current financial performance and excited about finishing another strong year, our sights our focused on 2015 and beyond. Our investments in recruiting, retaining and further developing the industry’s best talent, launching new tools and technology to increase the efficacy of our work and its impact and treatments on behalf of clients, adding strategic capabilities at the corporate level to accelerate our partners growth and leverage our infrastructure, building a media business that matches our world class creative offering, extending our offerings beyond North America in a very intelligent and profitable way. All these investments are now paying off in a meaningful measurable way and material way, but most importantly the fruits of that labor and investment will accelerate in years to come. For example, internationally we have substantially added to our capabilities. Today, all type of our largest integrated agencies are successfully competing for opportunities on a global basis as is our global PR platform. And we’re not just competing, we’re actually winning at a disproportion share relative to our marketplace. Winning business that quite frankly we could incredibly complete before just a few years ago. We now have 19 offices outside of North America versus just 10 year ago and two 5 years ago. We already mentioned the global infinity agency a record win in CBD and while exemplary, it’s not unique. Nearly 8% of our revenue is now outside of North America, up from 6% a year ago. We continue to see robust organic growth in foreign markets up 30% per year. Turning to the evolution of our media platform, we haven’t built an agency, we built a technology platform with an agency surrounding it. A modern offering with state-of-the-art media technology at its core. It’s truly a differentiated platform, a distinct model and the early traction with clients new existing is extremely encouraging. The firm assembly 14 distinct assignments in the quarter including a cross-sell from one of our major creative firms, something we absolutely intend to make the norm in the near future. If you’ve listened to these calls in the past, you’ve heard us discuss how the ship to exchange-based trading of media leveraging programmatic technology has opened vast new areas of opportunity for growth for MDC and our partners, an opportunity not opened to us just a few years ago. Our programmatic offering, Varick Media Management saw modest good size relative to the totality of MDC continues to be on the cutting edge of [narrowing] data analytics and technology. This advantage drives superior returns on marketing investment for our clients as we increase the lifetime value of customer and decrease the customer acquisition cost. As you know, our strategy is to implement our organic growth initiatives with smart, strategic acquisitions that not only raise the bar of our quality of our offering, but enhance our overall financial performance. We continue to be very strategic yet opportunistic completing two more noteworthy transactions for partnerships during the quarter. Hunter PR, one of America’s finest PR firms and Albion, one of the most high profile agencies in the UK. These deals meet or exceed all the financial metrics we target in terms of growth, margins, as well as our 20% minimum return hurdle led along the reputation that they have for doing great work. They also address some of the most important strategic initiatives and along with our recent new business wins, give us very strong and longer visibility into 2015 for our growth. In Hunter PR, we have partnered with one of the country’s most respected midsize public relation firms. Hunter bolsters our offering in consumer products, the largest category of advertising globally. With an impressive client list that provides real cross-selling opportunities across the MDC portfolio. In Albion, we’ve partnered with a creative business partner to some of the Europe’s most renowned entrepreneurs. Albion is a UK-based integrated agency with a very strong digital capability in its core that will be aligning with kbs+ to further build out its global capability. This investment certainly comes at a very exciting time for kbs+, which is now successfully competing on the global stage alongside CP&B anomaly, 72 & Sunny Builder and Allison & Partners. Before I close, I have an important note. Please mark your calendars for December 4th for our Investor Day in New York City. We’re thrilled to showcase our exceptional talent and leadership in transformative work for our clients so you can see firsthand the powerful and disruptive approach in its most important form. I am confident that you will walk away with a greater understanding and a more comprehensive experience just why our passion is leading us to have such conviction about our future. We believe that you’ll be just as convinced in our ability to materially gain market share, share of wallet for many years to come as I am currently on this call. Right now MDC is a premium growth story with robust free cash flow, expanding margins and we very much look forward to answering your questions gathering your expertise and discussing with you our plan to create ongoing and enhanced shareholder value in the future. With that, I’d like to turn the call over to David Doft to discuss our financial results and outlook in more detail.
David Doft: Thank you Miles and good afternoon. I’d like to discuss our outlook and provide an update on our credit facility. These third quarter results show that we are on substantially the same trajectory for 2014 that we laid out for you when we reported 2Q results. The one nuance is that Q3 adjusted EBITDA and adjusted EBITDA available for general capital purposes were affected by timing of certain costs about $5 million related to the heavy new business activity Miles discussed as well as some other organic growth initiatives which we expect to pay off in the future such as numerous office openings. This is precisely wise that to evaluate our performance on an annual basis. It is worth noting that our PMS segment turned nicely positive in the quarter with organic revenue up 6.6%, which was driven by improved performance at our project based agencies as well as the mix shift within the segment we’ve already talked so much about. I’d also like to briefly comment on $9.7 million of other expense that we booked in the quarter. Substantially all of this relates to mark-to-market adjustment of an intercompany receivable. As I have commented on many times in the past, this accounting entry can add some volatility to our GAAP earnings on a quarterly basis, as currency rates move around but it is non-cash. And importantly, when not to the FX charge, our net income would have been nicely positive in the quarter and year-to-date. On to the economy and what we see from our clients in the back half of 2014. Despite the choppy economic data points in some regions around the world and the uncertain signals in the U.S. broadcast TV markets, we continue to be optimistic about the domestic economic outlook and our client’s propensity to invest in advertising and marketing. Why? As the agency of records from many of our clients, we sit at the table with the Chief Marketing Officer and are getting paid for the strategic services we deliver on the totality of their marketing investment dollars. Often times, this may lead at to reallocate our clients marketing spend to deliver greater efficiency and this can sometime be at odds with specific performance and individual distribution channel. On behalf of clients, we are taking advantage of the flexibility and the increased amount of choices provided by the fragmentation of media and the availability of data and new technology. The simple truth, clients continue to chase growth and new and better ways to achieve it, business is good. In terms of guidance, we are reaffirming our expectations. Based on the first three quarters and our expectations for Q4, we are on track. We continue to expect roughly organic revenue growth of 6.5% to 8.5%; revenue of $1.245 billion to $1.27 billion; adjusted EBITDA of $184 million to $188 million; and adjusted EBITDA available for general capital purposes of $108 million to $112 million. While it is premature to provide a specific outlook for next year given the high visibility we have on revenue, which is based on a strong new business generation and the full year impact of the recent acquisitions, we believe the foundation is in place for even better 2015. I’m also pleased to inform you that we have just completed the expansion and extension of our bank facility, which serves to increase our borrowing capacity by a $100 million to $325 million and extends the maturity out an additional 18 months until September 30, 2019. We see this is an important step in the evolution of MDC as a larger company, competing on a global scale, increasing our capital base, further reducing our cost of capital and providing further financial flexibility to help on our growing business. This together with our strong balance sheet and liquidity position makes for a very attractive financial foundation for MDC growth. Finally as Miles mentioned, we’re holding our Investor Day on December 4th in New York City. Please look for a formal invite within the coming weeks or contact us directly. I look forward to seeing you all there. With that, we’d now like to take your questions.
Operator: Thank you. (Operator Instructions). The first question will come from John Janedis of Jefferies. Please go ahead.
John Janedis - Jefferies: Thank you. Can you guys speak a little more to the margin impact from the investment during the quarter, meaning what kind of visibility did you have on that when you reported back in July? And is there any way to help us think about the return on the investment or those initiatives?
David Doft: Sure. John, as you know, we don’t guide quarters. So we never gave an indication of timing of expenses throughout the year. The reality is that we work towards achieving a full year guidance number, a full year plan and we’re on track for that. So the fact is, we have very strong ramp-up in new business activity that leads to some cost upfront. Clearly, we’re converting as you see from the numbers and form the announcements that come out. That gives us tremendous amount of visibility on revenue both near term and longer term.
Miles Nadal: Yes, just to add to that, we have as Dave articulated $5 million in direct costs associated with new business that we’ve actually won. We have all of the costs of winning of that new business and none of the revenue. And those were international accounts that required a great deal of travel and outside costs. So that actually will pick up in the fourth quarter and more importantly next year. So, how do we know about the [result], we know that we have all of the cost and now we know the revenue is directly attributable to that investment of cost.
John Janedis - Jefferies: Thanks Miles. Maybe a related question then, so you talked about (inaudible) and the increased level of expansion in the new offices. I guess it sounds that outside of the U.S. and so that’s the case, is that account for the margin impact that we should be thinking about?
Miles Nadal: Well, I can only say to you there will be a positive appreciation on a more accelerated bases in ‘15 and going forward because of the 19 offices we have, 5 of them are not profitable because they are new. And as a result of that when they turn positive next year which we anticipate all the offices to be positive contributors, you will have an expansion of the margin. Just to go back to your point, if we have that $5 million of EBITDA that we directly attributable to it, we would have had 1.7% increase in margin for the quarter. So, we anticipate going forward that we will get acceleration of margins in ‘15 beyond the 50 to 100 basis points appreciation that we anticipated going forward.
John Janedis - Jefferies: Okay. Thanks very much.
Operator: The next question will come from Bill Bird of FBR. Please go ahead.
Bill Bird - FBR: Good afternoon. On I guess in (inaudible) account can you give us any color on when that account will begin to cycle through the P&L? And then separately, the market is clearly proving to exaggeration in short-term given the kind of lumpiness of expenses how the stock may or may not react. What are your current thoughts on stock buybacks? Thank you.
Miles Nadal: So two things; it is a -- we don’t comment a lot, but it will ramp up slowly in the fourth quarter, but the biggest impact will be felt at the end of Q1 next year. So, it will contribute modestly in Q4 and modestly in Q1, but it will start to accelerate for the next three years thereafter. With regard to stock buybacks, we are always evaluating. At this point in time, our M&A pipeline is exceedingly robust. With 44% return on investments that we currently have over the last 7, almost 8 years and a minimum return of 20% to 25% on average we are acquiring, we see that our best opportunity to enhance shareholder value is to continue to pursue these. We don’t look at our share price on an ongoing basis, we look for long-term value creation. If for whatever reason there was some aberration we would evaluate at the time, but in relation to where our shares are today, but more importantly in relation to where our M&A opportunities are, it is far more accretive for us to focus on that and investing in the organic expansion of our business then look to buy back stock.
Bill Bird - FBR: Thank you very much.
Miles Nadal: Thank you.
Operator: The next question will come from James Morris of Piper Jaffray. Please go ahead.
Unidentified Analyst: Hi, this is Stalin for James. Just wanted to talk a little bit about your net new business. It seems like it’s tracking below Q2 and below Q3 last year. Is it more of a timing, can you add some color there? Thanks.
Miles Nadal: Sure. Stan, if you look historically, it’s an unbelievably lumpy number quarter-to-quarter. It is kind of no rhythm release and about when clients decide to have review and when it falls throughout the year. So, I think if you look on a TTM basis, you see it’s quite robust. And if you look at the visibility we have on 4Q with the Infinity win and other that we haven’t been able to announce, we’re very excited about the number we’re going to be variable -- we’re going to be able to put up for the end of the year.
David Doft: So, we do anticipate Q4 to be up year-over-year and more importantly the total year to be up substantially year-over-year.
Unidentified Analyst: All right, thank you.
Operator: The next question will come from David Bank of RBC Capital Markets. Please go ahead.
David Bank - RBC Capital Markets: Okay, thanks guys. Just to revisit Infinity for a second. The win I think is most interesting not so much for revenue, but maybe more for what it suggest about Crispin Porter as a global platform. And I think if what the press says is right Infinity had actually never used a global single kind of creative partner for all these, for China, Europe, North America. And so, to have pick Crispin Porter for the first time it’s done that, it’s pretty interesting. What is going on like is Crispin Porter -- do you say more global platform, does it signify something about all of your platforms and what does it mean sort of bigger picture forget kind of the revenue opportunity for Infinity?
Miles Nadal: So it’s a very good question. I have said for five years that clients would evolve away from the institutional mediocrity of the bigger networks. It would go to smaller more nimble probably to understood how to combine strategy, creativity and technology to improve the efficacy of results. This is in my opinion a transformational moment where they could -- they sought through the entire marketplace of every big, every small or every medium size organization. And CPB and partnership with MDC and MDC played a very important role in this to enable them to have the ability to scope out the offering in 20 countries. This to me is indicative that clients are looking for more nimble and searching firms for more agile and dedicated to do transformational work to make their brands famous but more importantly sell cars, sell more product to more customers for more money, more often. So to us, but it’s not only an indication that CP&B is a spectacular agency will position now with a phenomenal micro-network to service global brands on broad geographic basis but so is KBS, so is Donor, so is Anomaly, so is 72andSunny. All of our five biggest platforms are all winning business on a broader global basis. These didn’t exist two years ago. So this is happening at an exponential rate. Because clients have figured out that size and innovation are inversely proportional, that firms who are actually doing demonstratable, measurable, strategic and focused work that delivers tangible financial performance are the more entrepreneurial micro-networks. So we think it’s indicative not only of CP&B coming off edge in its fourth decade but also the smart investments we have made on behalf of our five biggest networks, to build the broader geographic capability on a very cost effective basis. But more importantly, the kind of network that clients need for the changing dynamic of how consumers can influence in a digital economy. What we have done though with CP&B is as I said what we have done now for other four micro-networks. And to us it’s indicative of the kind of structure and model that’s well suited for clients need not only today but for the future. I think you’re going to see us win more and more share of market, more and more share of wallet and win larger, global initiatives that historically we wouldn’t have even been in consideration for our level on win.
David Bank - RBC Capital Markets: Have you, I mean as you look at the pipeline going forward, how much global business are you even competing for versus a year or two ago? Would these have been -- like what a factor or what kind of number I guess it, five times of much business, I mean that you’re like even in the hunt for globally?
Miles Nadal: So let’s put it this way. I can think of four pieces of business that we have won that today would represent almost 6% of our revenue, three that’s four piece of business. So call it $75 million worth of fees going forward. So, that would have been something that we never would have been in consideration for. It’s important to keep one thing in mind. Of the Fortune 100 clients we’ve got, let’s say we’ve got 50 of the Fortune 100 clients, 70% to 80% of their business is outside of North America. So when we win business, the natural extension of the importance of our relationship is to expand on the backs of those victories geographically. As we’ve said, we won’t go to a geography unless there is existing client demand that will justify the investment in the office, either completely or for the most part, so that we can identify a very clear path to profitability within 18 months. So, today those four pieces of business would have been that would have been a [piping] just 24 months ago. As David articulated, we had 6% of our revenue come from international, outside of North America last year, it’s now 8%. So, that implies over 33% growth. We are very comfortable for the next few years to see over 30% organic growth in our international business. Even if you look out five years from now, we see at least 20% kind of organic growth. And that number could be well over 20% of our business without any further acquisition.
David Bank - RBC Capital Markets: Okay. Thank you very much.
Miles Nadal: Thank you.
Operator: (Operator Instructions). The next question will come from Dan Salmon of BMO. Please go ahead.
Dan Salmon - BMO: Hey, good afternoon. Miles, you mentioned one of the wins at assembly coming from a cross sell from one of the creative agencies. I know that’s something you have been focused on and believe Jeff Brooks joined over the summer to help that initiative. Could you just give us a little bit more color on what your hopes are there? And to see that sort of cross pollination start to flourish a little bit more?
Miles Nadal: Martin Cass, the CEO of Assembly, who is really leading our media’s network has done a brilliant job at integrating the discrete pieces of our media business into a cohesive well technologically driven media network. He has done a superb job working with the creative agency network and identifying opportunities to work collaboratively to unearth revenue that the creative agencies never went after on a mutually beneficial basis. The double-digit organic growth that the media agencies are experiencing probably 25% of that is coming from cross-selling of services and collaborative partnership with our existing agencies. We see that continuing to build momentum going forward because we just start -- we just announced the really the creation of this overlap six months. And 2015 will be an even greater year of solidifying the platforms of what we have, but more importantly taking advantage of the momentum and the uniqueness of the platform and its ability to drive tag more tangible higher return on marketing investments for our media business than what’s available in the marketplace.
Dan Salmon - BMO: Maybe just one quick follow-up for you, David, just on Varick Media management. Could you just clarify what the accounting for it is whether it is gross or net accounting?
David Doft: Sure. The answer is really a little more complicated because it depends on the client and the relationship. So in general, it’s gross, but some clients by outcomes and some clients pay fee in which case it should be a little bit different. I think what you’re getting at is we sell, if you go out in the other holding company’s earnings call, this impact on our revenue growth and I’d say it’s basis points, not percentage points around to zero not even up to 1% so it’s fairly immaterial on its overall contribution to the organic revenue from distinction in the accounting.
Miles Nadal: It’s above 1% of our business. So, it’s important to understand that it is strategically significant, but financially not material.
Dan Salmon - BMO: Okay. Thank you, guys.
Miles Nadal: Thank you.
Operator: The next question will come from Peter Stabler of Wells Fargo Securities. Please go ahead.
Peter Stabler - Wells Fargo Securities: Good afternoon. Miles, wondering if you could circle back to some of your comments earlier and you talked about an even better 2015 and David I think you might have said that too. Could you help us understand what matters you’re referring to? Is that organic growth? And then secondly, one for you, David. You mentioned $5 million in new business expands, can I assume that that was far and away weighted to freelance?
David Doft: Yes. So let’s go to the last part. The other [broadcast] and other investment costs are related to freelance, but also a lot of part is relating to travel. These are huge pieces of business. A lot of these went on for between 6 and 10 months. And they’re mostly international. So that’s what it was focused on. But it was mostly labor. With regards to our confidence going forward, the reason why we’re so confident it’s not that the organic growth percentage was materially higher, it’s the absolute growth that will transpire. But more importantly, it’s the conversion to the bottom-line and the conversion to margin. So, because the nature of the wins we have, you will see and most of it’s fee driven, you will see a much greater conversion of incremental revenue to profitability. As a result of that, our free cash flow will grow more, our margins will grow more and our EBITDA will grow more with a comparable high single-digit kind of revenue growth.
Peter Stabler - Wells Fargo Securities: Great. And another quick one if I could. The CapEx was significantly higher than I thought. And I think you’ve covered this. So that was office build out internationally and primarily or domestic?
David Doft: It’s important to keep in mind that some of our firms have grown dramatically, 72 & Sunny being one. That’s an example of a firm that’s gone from 30,000 square feet to a 120,000 square feet. And so, we’ve now built out the infrastructure to be much larger. So, the lumpiness sometimes of our CapEx as we build infrastructure and capabilities allows us to scale up. So, we’ve now made substantial investment in infrastructure for our most rapidly growing firms that will allow us to go through the next step function of growth without a material amount of incremental CapEx.
Peter Stabler - Wells Fargo Securities: Great. Thanks Miles. I appreciate it.
Miles Nadal: Thank you.
Operator: The next question will come from Tracy Young of Evercore. Please go ahead.
Tracy Young - Evercore: Hi. Just two questions if I could? Is it possible for you to give us the number of employees at quarter end versus at the beginning of the year? And then also just in terms of the facility, the expansion of facility, you have $49 million of cash, is it really just that you’re being opportunistic at this time to extend the facility? Thanks.
David Doft: Sure. And so employees, we ended the quarter with 10,246 employees and from a credit facility standpoint yes, it’s being opportunistic to add to our liquidity going forward. The reality is there is seasonality to our working capital flows as well as our desire to continue to have the opportunity to make strategic and accretive acquisitions as Miles alluded to hold our organic growth. And this allows us to really maximize our flexibility going forward to do that.
Miles Nadal: Going back to your question, I think we started the quarter though with an employee base of how much, David?
David Doft: Last quarter we had 9,557, so we went up about 700 in the quarter.
Miles Nadal: Right. With regard to the facility, our receivables grew somewhere in the neighborhood of about $80 million year-over-year as our Media business as David articulated, continues to grow. We need to be in a position to be able to show the client the capability of being able to take on very large media assignments. So, even though we have cash and we will have even more cash at year end, we have always focused that you can’t have too much excess liquidity. It’s our expectation that year, by year end it’ll be over $400 million of excess liquidity. In addition, one of the things that we did on the credit facility as David spoke about, we extended the maturity by 18 months and we lowered the cost. The cost in today’s environment would be about 2%. That’s very low cost of borrowing if we in fact needed to utilize it for our business. So it’s really just giving us the flexibility to be able to look at our business which is expanding rapidly. There is no question in our mind that as we take on larger and larger piece of business, having a very large balance sheet and flexibility and liquidity is important to clients.
Tracy Young - Evercore: Thank you.
Operator: The next question will come from Gene Fox of Cardinal Capital Management. Please go ahead.
Gene Fox - Cardinal Capital Management: Hello, gentlemen. Just a couple of housekeeping numbers, Dave. Can you give me the numbers that you spent on acquisitions in the quarter?
David Doft: I’m sorry, which number on acquisitions?
Gene Fox - Cardinal Capital Management: Just how much you spent David for the two acquisitions?
David Doft: Sure. In the quarter we spent $23 million on down payments for the acquisitions that we announced as well as $11 million on deferred acquisition payment.
Gene Fox - Cardinal Capital Management: Okay. David, working capital swing during the quarter?
David Doft: Working capital swung out during the quarter based on normal seasonality of client spend.
Gene Fox - Cardinal Capital Management: What was that number David?
David Doft: You have the balance sheet, but the number is about $25 million.
Gene Fox - Cardinal Capital Management: Okay. In terms of margin and going to your earlier comment, if you -- assuming your fourth quarter number, you hit the fourth quarter obviously, that’s a nice margin expense and that gets you to 48 for the year. Based on your commentary, I assume that we would get a number north of the middle of the 15% to 17% range next year?
Miles Nadal: Look, we’ve always had a philosophy of under promising and over delivering, but there is no question we will be in that range. I would say that if you looked out three to five years, we will be north of the top end of the range. In fact, we would probably look to be somewhere in north of 18% in the next three to five years. But yes, it is fair to say that we will be in that range. And depending on how things flow, we could be in the higher end of the middle of the range. But for us, it’s a marathon out of spring because as we grow, we are still investing significantly in tools and technology and expansion of our business organically that we are funding from our own resources versus making dilutive acquisition that would appear to be profitable to short-term, but have a lower return on investment capital for our shareholders.
David Doft: And then just add to that Gene, I mean we’re just beginning budgeting and planning for next year. So these decisions about what we’re going to invest into 2015, its impact on the margin are happening over the coming week. So we’ll be prepared to talk about that in more detail when report 4Q results and give guidance for next year. But surely as Miles alluded to, we have a lot of visibility and runway for strong performance next year.
Miles Nadal: I would say going into ‘15 that we’re more confident in our ability to drive into that range and beyond based upon what’s transpired with our business and how we’ve set ourselves up with our existing platform for ‘15, ‘16, ‘17 than we’ve ever felt.
Gene Fox - Cardinal Capital Management: Thank you, gentlemen.
Miles Nadal: Thank you.
Operator: Our next question will come from Rich Tullo of Albert Fried & Company. Please go ahead.
Rich Tullo - Albert Fried & Company: Hey guys, thank you for taking my question. Congratulations on the new Infinity business. It seems like a [cushion] quarter. I guess getting -- back as far as the high profile job. When we look at programmatic and SMS, PMS, is it fair to say that over a period of time that business is going to transition in terms of the media buying to marginally or programmatic firm?
Miles Nadal: Well, the programmatic business is a core part of the tools and technology we use in assembly in our overall media business. It’s critical capability to the technology that’s been established and its ability to extend the lifetime value of a customer, reduce customer acquisition costs and drive a much higher return on media investment core clients. That business will have it will function in two ways; it has its only independent client base, which is growing very significantly, but in addition to that it is a core engine for the overall media business of MDC and will continue to do so going forward.
David Doft: And then that’s the point, Rich is that it’s opened the door for us. This was an industry where you need to scale to compete and even have the opportunity to get in the door with clients. But the rise of programmatic buying, exchange rate trading at media has really democratized the media business and allowed more nimble innovators like MDC like assembly or business like (inaudible) Management to get in the door and compete and we’re competing quite effectively. And so while the VMM in it of itself is small, it’s allowed us to grow our media business that’s now double-digit percent of MDC global revenue with the opportunities that we can succeed in having the percent of our business similar to our competitors that could be 20% to 25% over the next several years. So it’s very exciting growth opportunity for us in another way to the growth story then we see in addition to international in addition to the market share gains that we continue to make on the core trade of advertising business.
Miles Nadal: The other thing that I would to it, although it’s modest in its scale in relation to its competitors, it actually got superior technology that is good or better than any other competitor in the marketplace. The other critical element is that it’s hugely scalable, it could be 10 times the size without a material incremental investment. Of all of our businesses, probably the most scalable business with the highest conversion to incremental profitability from an incremental dollar of revenue.
Rich Tullo - Albert Fried & Company: Okay. And then sticking with that scale and if you look ahead, are you more inclined to maybe do direct publisher deals and do things internally or are you more inclined to partner up with some of these little emerging companies that are out there that will do exciting things, are you trying collaborating with already in similar shape or form?
David Doft: Rich, it’s really all of the above. It’s still very early days in the development of this marketplace. We have developed relationships with publishers for sure and a couple of them have been announced publicly, but we also are very active in the emerging venture back. As you know that is the driving force behind MDC’s venture investments. So we have investments in a couple of dozen different ad tech and data analytics companies that are core to the future of this industry that are filling out the text back whether it’s social or mobile or non-native advertising and other opportunities and whatever comes out next. We’re seeing as they are going to develop, as they are raising their street capital, we’re seeing these companies because of our venture arm and we’re able to test and integrate them into our service offerings as soon as they become commercially viable and flowed out that they can improve the performance for our clients.
Miles Nadal: In addition to that, one of the key areas that we’ve got an advantage because we have such -- we have five of the most high profile leadership agencies. All of these emerging ad tech firms are looking to partner with us because they want to utilize our client base and look to partner with our creative agencies to come up with campaigns that would leverage their technology and showcase the capabilities that they have. And that despite the fact that we’re modest in size and also our competitors, but we do have the very best creative agencies and what they want is the opportunity to showcase their technology. The other thing I would say is we’ve made an investment. We now have 43 people at our firm, a start up firm called [Gail 43], which are mostly people that left -- and this is a firm that really is extraordinary that could be a $50 million firm in the next five years. And this firm is really mere in technology, consulting and digital to really enhance the ability to do digital marketing for clients’ e-commerce, social media that will allow them to in a very measurable way drive return on marking investment under both the backend technology as well as the frontend creative side of things, led by an extraordinary entrepreneurial [Brad Simms] who built Canadian business with key executive and overall growth business. That business really has an extraordinary trajectory that we are very excited about. That business could be a platform that could enable us to be in a position to compete in that technology space of digital that we were never able to compete with, not on digital communications, but on digital marketing and technology.
Rich Tullo - Albert Fried & Company: All right. So would you say, I mean kind of the Home Ministry and for the President, would you say we’re at like some (inaudible)?
David Doft: I don’t understand what that means, but I can only tell you that on a scale of 1 to 10 relative to our potential, we’re 2 out of 10 relative to where we could be in the next five years.
Rich Tullo - Albert Fried & Company: So really it’s on the customer.
David Doft: I think we now -- we’re digging out to be a player for any major piece of business, but smaller enough to be nimble and agile as a thought leader that we can with disproportionate share of market and wallet more effectively today than ever in our company’s history.
Rich Tullo - Albert Fried & Company: Excellent. Thank you.
Miles Nadal: Thank you.
Operator: And the next question will be a follow-up from Gene Fox of Cardinal Capital Management. Please go ahead.
Gene Fox - Cardinal Capital Management: Yes. Just one follow-up gentlemen. David, in the past, you’ve been really good when you knew that there were tough comps or there were items in quarters that were going to be difficult to give us a heads up on it. My assumption is some of the expenses, these $5 million aren’t really foreseeable depending upon where these situations develop. Is that fair?
David Doft: Yes, I think that’s fair Gene. New business pitches, they come up and you go for it if you clearly have a chance to win. And if you progress, you sometime spend a little bit money. And some of these as they get big or more complex, the dollar can net up. And if a lot of them are happening at once, it could certainly shift money around quarter-to-quarter. So we’re not saying we don’t have new business expense on a normal course, of course we do. But what we’re saying is that the activity has ramped up so much. And you can see in the numbers and in the announcements that are coming out that we’re benefiting from it that it swung the quarter. But this is why we don’t guide quarters. Right? There is a timing of revenue recognition that often happens for us, there is timing of expenses before revenue comes, and it moves quarters around and makes it quite lumpy and volatile. So that’s why we work towards the year, that’s why we guide the year. And what we’re saying is the year is on track and we’re excited and we’re setting ourselves up for even better year next year.
Miles Nadal: One of the critical elements that’s transpired through our new business wins is not only the magnitude but the magnitude of the wins in the second half will probably be double or triple the average size of our top 50 clients. But more importantly, some of these are multi-year agreements Gene. And as a result of that, the visibility going into many years into the future give us high confidence in our ability to predict going forward. Because of the magnitude of these things as Dave articulates, this was an extraordinary quarter where we had a disproportionately much higher amount of new business costs but the revenue and profitability going forward is disproportionately higher as well because of the magnitude of the wins that we’ve had.
Gene Fox - Cardinal Capital Management: And Miles, I certainly appreciate that and I’m happy about it. The only issue really that I have is if you know it’s going into a quarter then it’s going to be -- if you know it’s going into a quarter, you’re going to -- I would expect you’d give us a heads up that there is something out of the ordinary and that’s….
Miles Nadal: Understand that some of these with four or five months over in terms of the amount of time it took to bring to fruition, so we had no idea how long it would take. In addition to that some of them we didn’t even think we had a chance of winning. And as a result of our success in a marketplace, we actually had the agony of riches which is we ended up winning business that we didn’t anticipate that took longer and cost more to actually bring to fruition then had we not learned them. But the benefit is our momentum and incremental profitability surprises on the upside will happen going forward.
Gene Fox - Cardinal Capital Management: Thanks gentlemen. Congratulations on doing a great job.
Miles Nadal: Thank you.
Operator: And ladies and gentlemen, that will conclude our question-and-answer session. I would like to turn the conference back over to Miles Nadal for any closing remarks.
Miles Nadal: Ladies and gentlemen, thank you very much for your time and interest. We appreciate it. We look forward to discussing our plan for the future at investor day as David articulated. Thank you very much. Have a good evening. And we’ll see you on December the 4th. Take care.
Operator: Ladies and gentlemen, the conference has now concluded. We thank you for attending today’s presentation. You may now disconnect your lines.